Operator: Good morning and welcome to Veritiv Corporation’s Fourth Quarter and Full Year 2015 Financial Results Conference Call. As a reminder, today’s call is being recorded. We will begin with opening remarks and introductions. At this time, I would like to turn the call over to Tom Morabito, Director of Investor Relations. Mr. Morabito, you may begin.
Tom Morabito: Thank you, Shawn and good morning everyone. Thank you all for joining us. Today, you will hear prepared remarks from Mary Laschinger, our Chairman and Chief Executive Officer and Steve Smith, our Chief Financial Officer. Afterwards, we will take your questions. Before we begin, please note that some of the statements made in today’s presentation regarding the intentions, beliefs, expectations and/or predictions of the future by the company and/or management are forward-looking. Actual results could differ in a material manner. Additional information that could cause results to differ from those in the forward-looking statements is contained in the company’s SEC filings. This includes, but is not limited to, risk factors to be contained in our 2015 Annual Report on Form 10-K and in the news release issued this morning, which is posted in the Investors section at veritivcorp.com. Non-GAAP financial measures are included in our comments today and in the presentation slides. The reconciliation of these non-GAAP measures to the applicable GAAP measures are included at the end of the presentation slides and can also be found in the Investors section of our website. At this time, I would like to turn the call over to Mary.
Mary Laschinger: Thanks, Tom. Good morning, everyone and thank you for joining us today as we review our fourth quarter and full year financial results. We will also cover key accomplishments in 2015, set our 2016 guidance and provide initial thoughts on some of the key drivers of our full year performance. For the full year 2015 compared to the prior year, on a pro forma basis, net sales were $8.7 billion and down approximately 6%. Despite the top line pressures, we exceeded our 2015 adjusted EBITDA commitment to shareholders and reported consolidated adjusted EBITDA of $182 million, more than an 18% increase year-over-year. This increase was primarily a result of our strong program management of the integration, strategic management of margin and price mix and a benefit from lower fuel prices. We remained on track with our long-term goal to improve adjusted EBITDA by an incremental $100 million in the first few years post merger and are well-positioned to enter our next phase of synergy capture in 2016. Our disciplined focus on the integration initiatives allowed us to place ahead of our original synergy plan and we were able to capture approximately 55% of our cumulative forecasted synergy range of $150 million to $225 million. This was accelerated by solid execution against our sourcing strategies and operational initiatives in both 2014 and 2015 and was a significant driver of our full year earnings. From a top line perspective, our full year revenue decline was affected by three main elements. First, due to the year’s calendar structure, we had 1 less shipping day in the first quarter of 2015 compared to the number of shipping days in the first quarter of 2014. This had a negative impact on revenues for all of 2015 versus 2014 of about 40 basis points. Currency headwinds, primarily associated with the weakened Canadian dollar, amounted to 1.3% of the reported 6.4% decline for the full year. Facility solutions, was especially impacted by the element, as approximately 20% of the segment’s revenue stream is generated in Canada. Lastly, excluding the effect of foreign currency and day count differences, our core business decline was 4.7% of the reported 6.4% decline. This core decline was largely driven by strategic customer choices, softness in the industrial sector, challenging economic conditions in Canada and the structural decline in the paper industry. There is a component of our core performance on which I would like to provide additional context. The impact of our strategic voluntary customer count decisions amounted to 1.8% of the 4.7% core revenue decline for the year. These decisions were made prior to the fourth quarter and will take a full year’s time to fully lap the decreased volume associated with these decisions. We expect the impact of these decisions to tail off during the first half of 2016. However, we are confident in the decision that we have made as we saw in 2015, the benefit of improved adjusted EBITDA as a percentage of net sales from Veritiv as a whole. 2015 proved to be a foundational year and I am proud of the stride that we have made as an organization and the company culture we are building in the process. There are few accomplishments, in particular I would like to highlight that we are both fundamental to our integration progress today and set the stage for the future direction of Veritiv. First, we accelerated the capture of our planned synergies, which were primarily driven by a effective execution of our sourcing strategies and operational initiatives, such as warehouse consolidation and fleet optimization. For example, since the merger, we have been able to remove approximately 8% of our fleet assets from the road through initiating the route optimization of our distribution network. This has enabled us to manage the delivery functions of our business more efficiently and reduced our fuel consumption, all while maintaining our high levels of customer service. Second, we completed our U.S. operating entities simplification and achieved Sarbanes-Oxley compliance for our internal control, which are significant milestones for the combined company. Lastly, we made meaningful investments in positioning our organization for the future, especially in our strategy and human resource function. More specifically, we formalized a new strategy department with the charge to identify and lead growth opportunities that will shape the future success of Veritiv. This was also our first full year of using our performance management processes which support our pay for performance culture and passion for results. Looking to 2016, there are a few primary factors that are important to consider, when examining the opportunities and challenges for our business. Similar to the themes in 2015, we expect economic softness, industry pressures and currency headwinds to be present in 2016. Where we stand today, we had a slower than anticipated start to the year and there are uncertainties in the economic environment going forward, but we remain cautiously optimistic about our own revenue trajectory for the balance of the year. We are also entering the next phase of our integration, which focuses on systems integration and outlining the future roadmap of our distribution network. This more complex phase requires a significant investment of resources and time and as such, the pacing of synergy capture from this phase of the integration will be more modest than that of previous quarters. Steve will elaborate on this later, but this change of pace was expected and is part of our original multi-year integration timeline. Despite these challenges before us, we would note that as a distributor, our ability to manage inventory allows us to generate significant cash flow, despite a difficult macroeconomic conditions and we plan to maintain a balanced use of cash to invest in the future of the company and when appropriate, reduce debt and return value to the shareholder. Before I pass the call to Steve, I would like to share that I am very proud of this industry-leading company that we have created. I would like to thank the entire Veritiv team for their hard work and contribution to a strong first full year of operations. Despite the economic and integration challenges in 2015, we achieved our operational and financial goals for the year and delivered on our commitment to shareholders. We still have hard work and a new wave of challenges ahead of us, but I am confident that our Veritiv team is capable of executing on our 2016 plan. Now, I will turn it over to Steve, who can take you through the details of our fourth quarter and full year performance.
Steve Smith: Thank you, Mary and good morning everyone. Let’s first look at the overall results for the quarter and the year ended December 2015. When we compare full year 2015 to the prior year period, we do so on a pro forma basis as if the merger had occurred on January 1 of 2014. And as Mary has walked you through earlier, when we speak to core performance, we are referencing the reported net sales performance, excluding the impact of foreign exchange and adjusting for any day count differences. For our fourth quarter of 2015, we had net sales of $2.2 billion, down 7.5% from the prior year period. Excluding the effect of foreign currency, core net sales declined 6.2%. Peeling back the layers of our core performance, we made a decision to harmonize our shipping terms in the fourth quarter and the accounting conformity was 1.2% of the 6.2% core business decline in the quarter. Strategic customer choices amounted to an additional 2.2% of the core business decline. Said differently, removing the strategic account decisions and accounting conformity from our core performance, our revenue decline was less than one half of the reported 7.5% decrease for the quarter. Our cost of products sold for the quarter was approximately $1.8 billion. Net sales, less the cost of products sold, was $396 million. Net sales less cost of products sold as a percentage of net sales was 18%, up approximately 160 basis points from the prior year period. Adjusted EBITDA for the fourth quarter was $52.3 million, an increase of approximately 30% from the prior year period. Adjusted EBITDA as a percentage of net sales for the fourth quarter increased to 2.4%, up 68 basis points from the prior year period. In other words, despite a revenue decline of 7.5% in the fourth quarter, Veritiv improved both its adjusted EBITDA and adjusted EBITDA margin as a percentage of net sales. These increases were accomplished through a combination of accelerated synergy capture, driven by strong program management of the integration, strategic mix management and a $3 million benefit from lower fuel rates. For the year ended December 31, 2015, we had net sales of $8.7 billion, down 6.4% from the prior year period. Our net sales per shipping day were down 6% year-over-year. The difference between the 6.4% and 6% decline is the one less shipping day in the first quarter of 2015 compared to the prior year period. Our core net sales which excludes both the day count difference and the impact of changes in foreign exchange rates declined 4.7% for the year. Similar to our performance in the quarter, for the full year of 2015, if we remove the impact of strategic decisions and the accounting conformity from our core business, our net sales decline is less than one half of the reported 6.4%. I would just quickly note that in 2016, we will have two extra shipping days in the first quarter and one less shipping day in the fourth quarter, resulting in one more net shipping day for the full year 2016 results relative to 2015. For the full year 2015, our cost of products sold was approximately $7.2 billion. Net sales less cost of products sold was approximately $1.6 billion. Net sales less cost of products sold as a percentage of net sales was 17.9%, up about 100 basis points from the prior year period. Adjusted EBITDA for the year was $182 million, as Mary reported, an increase of over 18% from the prior year period. Adjusted EBITDA as a percentage of our net sales increased to 2.1%, up 44 basis points from the prior year period. We are pleased with this continued improvement in our earnings and margins. As with the fourth quarter’s performance, our increased earnings for the full year were result of a combination of accelerated synergy capture, strategic mix management and an $11 million benefit from the lower fuel rates versus the prior year period. Let’s now move into the segment results for both the quarter and year ended December 31, 2015, again with the full year financials compared with the prior year period on a pro forma basis, as if the merger had occurred on January 1 of 2014. As a reminder, when we speak to core performance, we are referencing the reported net sales performance, excluding the impact of foreign exchange and adjusting for any day count differences. In the fourth quarter, the Print segment experienced a 12.2% decline in net sales and our core business was off by 11.2%. It’s important to note that approximately 40% of the fourth quarter revenue decline in this segment was the result of voluntary strategic choices made by Veritiv earlier in 2015. We expect the majority of the revenue impact to tail-off in the first half of 2016. In the fourth quarter, this segment’s revenues were impacted by the accounting terms change that I mentioned earlier. Removing the effect of strategic customer choices and the accounting terms harmonization from the core performance, the Print segment’s net sales decline was less than one half of the reported 12.2% decrease in the quarter. This is an improved trend in the quarter we believe is close to being in line with the market. For the year, the Print segment experienced an 11.3% decline in net sales and our core business accounted for 10.1% of that decline. Further adjusting for strategic choices, which were 3.3% of the overall decline and the accounting terms harmonization, the Print segment sales were off slightly more than one half of the reported 11.3% decline for the year. In spite of these declines, adjusted EBITDA for the print segment increased 26% year-over-year to $21.8 million in the fourth quarter, resulting in an increase in adjusted EBITDA as a percentage of net sales of 82 basis points. For the year, adjusted EBITDA for the print segment increased 16.7% year-over-year to $79 million, resulted in an increase in adjusted EBITDA as a percentage of net sales of 58 basis points. The combination of operating and selling expense reductions, sourcing initiatives and better customer and product mix more than offset the volume pressures and led to the increase in adjusted EBITDA. In the fourth quarter, the publishing segment had a 14.3% decline in net sales and core business. The decline was especially affected by reduced volumes largely in magazine and insert advertisements as customers continue to adjust their promotional mix. Due to the large in-transit volumes of this brokerage business, net sales in the quarter were particularly impacted by the shipping terms harmonization, which amounted to 3.3% of the overall decline. Strategic customer count decisions were another 1.5% on the segment’s sales decline. Removing the strategic customer account choices and the accounting harmonization from its core performance, our sales decline in the publishing segment was closer to about two-thirds of the reported 14.3% decrease in the quarter. For the year, the publishing segment experienced an 8.7% decline in net sales, which we believe is in line with the market. Core performance was off 8.1% and the impact of the strategic customer account choices and accounting harmonization accounted for about one-fourth of that decline. Adjusting for these impacts, the resulting net revenue we believe was slightly better than the market’s performance. Despite the heavy top line pressures, the publishing segment contributed 11.6% of adjusted EBITDA in the quarter, which was about a 10.5% increase from the prior year period and largely result of margin improvements that more than offset volume pressures. Adjusted EBITDA as a percentage of net sales was 3.8%, up 84 basis points from the prior year period. For the year, adjusted EBITDA was $34.7 million and up 3.3% year-over-year. Adjusted EBITDA margins for the year improved 33 basis points from the prior year period. In the fourth quarter, our facility solutions net sales decreased 7.2%. Adjusting for foreign currency, core revenue was off 4.3% and strategic customer choices were 1.3% of the core decline. Removing the effect of strategic customer choices from core performance, the sales decline was a little over one-third of the reported 7.2% decrease in the quarter. I should note that our facilities business generates roughly 20% of its revenues from Canada and the Western Canadian economy in particular was, as many of you know, very weak during 2015. For the year, facility solutions net sales decreased 7.1%. Removing the impact of foreign currency and 1 extra day in the prior period, core revenue was down 4% and strategic customer choices were 2.1% of that core decline. Further adjusting for strategic customer choices, net sales declined one-third of the reported 7.1% decrease year-over-year. For the fourth quarter and full year, facility solutions contributed $11.5 million and $41.7 million in adjusted EBITDA respectively. The facilities solutions business experienced an adjusted EBITDA as a percentage of net sales decline of 80 basis points for the quarter and 42 basis points for the year. The revenue and earnings decline in facility solutions continue to be driven by a combination of factors, including loss of certain accounts pre-merger, strategic account management, the softness in the Canadian economy, which I mentioned a minute ago and the weakened Canadian currency. In the face of these challenges, we have continued to refine our focus on markets, customers and products, while continuing to improve operational efficiencies. In the fourth quarter, the packaging segment grew its net sales slightly. However, core net sales actually increased 2%. Further excluding the impact of the accounting harmonization, net sales increased about 3% for the fourth quarter, which we believe is better than the market performance. For the year, the packaging segment’s net sales pattern was similar to the fourth quarter, namely packaging’s reported net sales were flat for the year. But as with the fourth quarter, if you were to remove the effects of foreign currency and accounting harmonization, the packaging segment’s net sales on a comparable day count basis increased at a growth rate similar to the fourth quarter. While the packaging segment continue to face market pressures from declining prices in the resin market and unfavorable economic trends in industrial sector, especially softer volumes in manufacturing and food packaging, we saw strength in our fulfillment sector, which posted double-digit revenue growth year-over-year. From an earnings perspective, packaging contributed $56.1 million in adjusted EBITDA for the fourth quarter, resulting in a 6.5% increase quarter-over-quarter. Adjusted EBITDA as a percentage of net sales increased to 7.7%, up 44 basis points from the prior year period. For the year, packaging also contributed $212.6 million of adjusted EBITDA, resulting in an 11.7% increase year-over-year. Adjusted EBITDA as a percentage of net sales was 7.5%, up 77 basis points from the prior year period. The adjusted EBITDA improvement in this segment was largely attributable to sourcing initiatives, better product mix and lower operating expenses. Today, we are providing 2016 guidance for an adjusted EBITDA range, synergy captured targets, capital expenditure plans and free cash flow estimates. We expect adjusted EBITDA for 2016 to be in the range of $185 million to $195 million, which reflects our view that current economic softness continues throughout the year. The conscious acceleration of our synergy capture efforts was a meaningful driver to our 2015 adjusted EBITDA out-performance. As a reminder, these synergy percentages are calculated using the cumulative effect of synergy benefits already achieved in 2014 and ‘15, measured at the high-end of the range. Said differently, we reported the cumulative effect, not the incremental effect and comparing our performance to the high-end of the multi-year synergy range. For the full year 2015, we made significant progress on our long-term goals and were able to capture approximately 55% of our cumulative forecasted synergies in the range of $150 million to $225 million, which was ahead of both our initial design as well as our 2015 internal plan. We reached this accelerated level of synergy capture largely from strong execution of our sourcing strategies and operational initiatives. However, we do not anticipate this accelerated pace to continue into 2016, because we are now entering the next phase of our integration, which will be more complex as it will be centered on process enhancements in the information systems, which require significant investment and time, but these investments now will enable further synergy capture in future years. While our expectation for total synergies over the multi-year forecast remains unchanged, we are updating our expectations for net synergy capture for 2016 to a range of approximately 60% to 70%, up from 50% to 60% of the ultimate goal of $150 million to $225 million over the 5 years post-merger. Now, turning to the balance sheet, at the end of December, we had drawn approximately $800 million of the asset-based loan facility and had available liquidity of approximately $410 million. As a reminder, the ABL facility is backed by the inventory and receivables of the business. Shifting now to cash flow, for the year ended December 31, 2015, our cash flow from operation was $113 million, which was better than planned. If you subtract capital expenditures from cash flow from operations for 2015, you would find we have generated free cash flow of approximately $69 million. If you then add back to free cash flow, the negative cash impact of restructuring and other integration related items, adjusted free cash flow for 2015 would be $144 million. We continue to believe that this healthy level of cash flow from operations will allow us to accomplish three objectives. Our first priority is to continue investing in the company, that investment has two elements, one-time integration cost and capital expenditures. We have two types of integration costs. There are those costs that run through the income statement directly and those that are within capital expenditures. One-time integration cost is expected to run through the income statement for 2016, will be between $40 million and $50 million. We expect capital expenditures related to the integration projects to be in the range of $10 million to $20 million, which will help enable the synergy capture in 2016 and beyond. Similar to 2015, this incremental capital spending is principally for information systems integration. For 2016, our ordinary course capital expenditures are expected to be approximately $20 million to $30 million. For comparison purposes, you might want to know that in 2015, capital expenditures totaled nearly $10 million for the quarter and $44 million for the year. Of those quarterly and full year figures, there were about $6 million and $20 million respectively related to integration projects. Our second priority for the use of our cash flow is to pay down debt. During 2015, we decreased our net debt to adjusted EBITDA leverage ratio from 5.1x to 4.1x. Our strategic goal as a net leverage ratio of around 3x. Despite the economic and industry pressures expected in 2016, we believe our operating model as a distributor will allow us to flex our operational and working capital components to ensure we maintain the cash flow levels necessary to continue debt reduction over the course of the year. For 2016, we currently anticipate at least $70 million of free cash flow that is cash flow from operations less capital expenditures. And our third priority for the use of excess capital is return value to our shareholders. So in summary, we are pleased with our fourth quarter and full year earnings. Our improved earnings were primarily driven by strong program management of the integration and the resulting accelerated synergy capture, along with a fuel benefit and margin improvement due to market, customer and product mix. I will now turn the call back over to Mary and the operator, Shawn for Q&A.
Mary Laschinger: Thank you, Steve. Shawn, we are ready for questions.
Operator: [Operator Instructions] And your first question comes from Keith Hughes with SunTrust. Your line is now open.
Keith Hughes: Thank you. I just wanted to turn to the synergy slide to make sure I think I understood this correctly. The 55% you have achieved that 55% of the high end of the range of $225 million, is that correct?
Steve Smith: That’s right, Keith. The high-end of the range, that’s correct.
Keith Hughes: So, it would be like $123 million, $124 million. So, I guess my question is when we will be able to narrow down the still very wide range of $150 million to $225 million?
Steve Smith: So, we continue to march toward our ultimate goal that internally would be at that high end or above behold to the range, because there is variability within these different projects we have ongoing, but we target the high-end of the range internally.
Keith Hughes: Okay.
Mary Laschinger: And Keith, let me also add into that. I know that there is a desire to have better understanding of some of these synergies, but we are heading into this year is a greater challenge around – not challenge, but an expected delay of synergies, because of the complexity of what we are going to do, but it does set us up for next year and the year after for greater synergy capture, of which that we haven’t quantified yet, because we are still trying to understand some of the dynamics. So, we have a range out there today. It does – we are committed to that range. But as we have talked about in the past, there are things probably that down the road once we get fully integrated, that will create even greater value.
Keith Hughes: Okay. Filling on that, the incremental $100 million of EBITDA, which you have talked about now for some time, how much of that do you think has been realized, is it the same 55% or what will be the number?
Steve Smith: Well, if you start from where we began the process, Keith, at $140 million of adjusted EBITDA, you would say we have accomplished $42 million over the 18-month period since close.
Keith Hughes: Okay. So $140 million is the start, right?
Steve Smith: Yes, that’s where we began the effort back in May and June of 2014.
Keith Hughes: Okay. And final question, you had talked about – in your guidance for the year you talked about a slow the start to the year, can you give any kind of clarification numerical numbers on what that looks like first couple of months and the quarter here?
Mary Laschinger: Yes. So first of all, I won’t provide any numbers. It’s not something that we are going to do at this point. We will be releasing our earnings in May for the first quarter. But what we saw was a little bit of softening in December already, in particular in some of the industrial manufacturing customer base. And we saw that carry into January. And so we saw a relatively soft January, which was unlike January of last year. However, having said that, last year we did as this question was asked to me last year how do we see the quarter play out. And the last year the quarter played out was stronger in January and February and then started to soften in March. And we are seeing the reversal of that this year. So there was a slower start early in the year and we are beginning to see that trend more positively.
Keith Hughes: Any specific segment affected more than others?
Mary Laschinger: Actually, it was across the board.
Keith Hughes: Okay, thank you.
Operator: [Operator Instructions] And your next question comes from Scott Gaffner of Barclays. Your line is now open.
Scott Gaffner: Thanks. Good morning.
Mary Laschinger: Good morning Scott.
Scott Gaffner: Mary, just to take one step further, you mentioned your industrial end market exposure, a couple of different times in relation to some of this weakness, where does that reside and how do we think about total percentage of the company related to more industrial end markets versus consumer end markets?
Mary Laschinger: Yes. The bulk of that industrial lies within our packaging business and I don’t have a percentage of the top of my head in terms of what percentage of the packaging business that it is targeted towards. But the areas where we saw the biggest impact especially in the fourth quarter, tail end of the fourth quarter and the first part is in the automotive area, industrial equipment manufacturing, some in the paper industry. And so it really comes down to industrial manufacturing, more geared towards the packaging and it’s about one-third of our packaging business.
Scott Gaffner: Okay. And then if I heard you correctly, print and publishing, those two segments something like maybe the market was down around 6% or 7% for print, maybe a little bit more for publishing in 2016, which is – it sounds like the market itself is underperforming especially versus where you guys thought the 2013 to 2018 growth rate would be for those segments, which was I think somewhere in the 3% to 4% range negative, I mean how do you see that playing out, as we go into 2016 and what was the cause of 2015 end markets being worse?
Mary Laschinger: Yes. So Scott first of all, in terms of the forecast that you referenced about 3% to 4%, that’s probably an industry forecast. We have historically seen this and by the way the industry forecast is almost always off. And I think we are looking at it much bigger declines in that overall. We did the – the industry overall did see declines of 5% to 6% range in the print area and at least 9% in the publishing area. And in terms of what’s driving that, it’s the ongoing structural issues with the industry. And we are anticipating that that’s going to continue. We have had several things hit our business over the course of last 12 months, which we tried to explain that puts us above those numbers, but feel very confident that over the course of the next quarter or two, we will be more in line with, whatever that market decline is. We anticipate that market decline. We are planning for that continued market decline. And frankly, I think it’s not going to get any much better than what we are seeing historically here.
Scott Gaffner: Okay. When I look at the SG&A expense, it looks like in total at least in the fourth quarter, it was relatively flat year-over-year and so that would imply a significant percentage increase in SG&A as a percentage of sales, what’s driving that?
Mary Laschinger: Well, Steve?
Steve Smith: Sure, Mary. So, a couple of things. First, if you look at our total operating expenses, not just SG&A, you would see in the quarter-over-quarter comparison, they are down. They have had 6% – between 4% and 6% in each of the categories. SG&A in the period had some things hit it, including a goodwill impairment associated with our facility solutions business, which distorts that particular quarter.
Scott Gaffner: Okay. Last one from me, on the free cash flow guidance, the $70 million, I just want to make sure we are looking at that correctly. Is that before the add back of all the other items or is that so I guess maybe a better way, is there $70 million of guidance equate to the $70 million that you achieved in 2015?
Steve Smith: Yes and yes for the two questions. So yes, it is before the add backs of the restructuring costs and merger and integration costs. And yes, it’s equivalent to the prior year period.
Scott Gaffner: Okay, great. Thank you.
Operator: [Operator Instructions] And your next question comes from James Armstrong with Vertical Research Partners. Your line is now open.
James Armstrong: Good morning. Thanks for taking my question.
Mary Laschinger: Good morning, James.
James Armstrong: Good morning. First one is in print and publishing I would go a little more detail in there. Could you talk a little bit about the grade mix? Are you seeing any falloff in one grade more than another and a little more about the background of that market and what you are seeing?
Mary Laschinger: So in the publishing, in particular, we do see greater declines in some categories more than other. For example, coated mechanical grades are down double-digit as an example. Coated woodfree has actually been closer to a 3% decline versus coated mechanical at double or triple that. And uncoated free sheet and uncoated free sheet is more modest in the single-digit decline, while uncoated mechanical is in the double-digit decline. So, there are some pretty significant variations in that, James, just to give you some perspective.
James Armstrong: Okay, that helps. And then on the strategic customer decisions that you have made over the last year, was there really an underlying theme on what type of customers you chose to walk away from, was there a minimum volume margin order profile or something completely different?
Mary Laschinger: What it primarily boiled down to was the cost – a big part of it was the cost to serve those customers that changed over the course of time and the total portfolio that we are servicing those customers with. So, we don’t look at a single order or a single product category, but look at the customer in totality and those dynamics that make it better or worse from a profitability standpoint, but when you get to the point where cost to serve on a total portfolio outweighs the benefit. Those are the kinds of the decisions that we have forced to make.
James Armstrong: Okay, that’s helpful. And then lastly, turning to the cash flow guidance, do you see any room to drawdown working capital further or do you believe that working capital levels are likely to remain at or roughly these levels for the foreseeable future?
Mary Laschinger: So, the short answer is yes we do see opportunity to drawdown working capital. Let me talk about that in two different phases. Our working capital will ebb and flow based on couple of factors. First of all, where there is the seasonality to our business that Steve has spoken about, but there is also opportunities at times that we will take advantage, whether it would be a buy-in with a supplier that makes economical sense for us to build our inventories, because of the value on the buy side relative to our debt cost. So, we will make those kinds of decisions that make the most sense for the income statement and earnings to the company. And so you will see some modest ebbs and flows in a given year. Where we finished the year, we were a little bit higher for a couple of reasons, both in terms of transitioning into strategic suppliers, taking advantage of opportunities, so we do see our year end inventories coming down. And so a modest trend down in calendar year 2016, but we see longer term potential into 2017 and ‘18 as we really get our entire systems integrated and our warehouse network optimized and that’s when we can really tackle working capital in a big way.
James Armstrong: Okay, that helps a lot. Thank you very much.
Operator: And there are no further questions at this time. I turn the conference back to Mary Laschinger.